Operator: Good morning, and welcome to the H&E Equipment Services First Quarter 2015 Earnings Conference Call. Today’s call is being recorded. At this time, I would like to turn the call over to Mr. Kevin Inda. Please go ahead, sir.
Kevin Inda: Well, thank you, Erin and welcome to H&E Equipment Services conference call to review the company’s results for the first quarter ended March 31, 2015, which were released earlier this morning. The format for today’s call includes a slide presentation, which is posted on our website at www.he-equipment.com. Please proceed to Slide 1. Conducting the call today will be John Engquist, Chief Executive Officer; Brad Barber, President and Chief Operating Officer; and Leslie Magee, Chief Financial Officer and Secretary. Please proceed to Slide 2. During today’s call, we will refer to certain non-GAAP financial measures and we have reconciled these measures to GAAP figures in our earnings release, which is available on our website. Before we start, let me offer the cautionary note that this call contains forward-looking statements within the meaning of the federal securities laws. Statements about our beliefs and expectations and statements containing words, such as may, could, believe, expect, anticipate and similar expressions constitute forward-looking statements. Forward-looking statements involve known and unknown risks and uncertainties, which could cause actual results to differ materially from those contained in any forward-looking statement. These risk factors are included in the company’s most recent Annual Report on Form 10-K. Investors, potential investors and other listeners are urged to consider these factors carefully in evaluating the forward-looking statements and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after the date of this conference call. With that stated, I will now turn the call over to John Engquist.
John Engquist: Thank you, Kevin and good morning everyone. Welcome to H&E Equipment Services First Quarter 2015 Earnings Call. On the call with me today are Leslie Magee, our Chief Financial Officer and Brad Barber, our President and Chief Operating Officer. Proceed to Slide 3 please. I will focus my comments this morning on our first quarter results, current impacts from the softness in the oil patch and overall market conditions. Then Leslie will briefly review our first quarter results. When Leslie concludes, I will discuss our outlook for 2015. At that time, we will be happy to take your questions. Slide 5 please. Leslie will go through our financial, but let me summarize by saying overall our first quarter results approximated our expectations. We knew it would be a challenging quarter for several reasons, including normal seasonality, which was even more of an issue for us this year due to an unusually lengthy bout of severe weather in many of our regions. The quarter was further complicated by the decline in oil prices. As we cautioned on our fourth quarter call, we did experience a decline in new equipment sales, specifically cranes as a result of decreased oil and gas activity. We also experienced some decline in rental demand related to softness in the oil patch, but increased construction activity in our other markets helped mitigate the decreased activity. I will quantify this in more detail shortly. But our strong fleet management systems and transferable fleet mix allowed us to quickly redeploy much of our oilfield fleet into our other regions. Despite the significant headwinds I just discussed, demand for our rental revenue – or demand for our rental equipment remained strong for the quarter with revenues increasing 17.6% from a year ago. We also continued to maintain industry leading utilization. Very importantly, we believe our overall market conditions remain strong as we move into 2015 and our outlook remains positive. Proceed to Slide 6 please. As usual, we have included our map detailing revenue and gross profit by region. Our Gulf Coast and Intermountain regions continued to account for the majority of our business. Let’s move on to Slide 7 for an update of our oil and gas exposure. To put our oil and gas exposure in perspective, 11% of our total revenue in the first quarter of 2015 was directly related to oil and gas. This is down slightly from 13% during 2014 as expected. As a reminder, the majority of our exposure is in the upstream activity, the first part of the oil patch to feel the effects of lower oil prices. And we estimate this was 9% of total revenue, followed by 1% in midstream and 1% in downstream activity during the first quarter. Of the 9% of upstream exposure, we estimate that 95% is tied to production, which has proven to be less sensitive to volatile oil prices and exploration. During the first quarter, the direct impacts to our business associated with the current oil patch situation were approximately in line with our expectations. We had expected that new equipment sales would decline due to lower demand for cranes used in oil and gas activities. We also anticipated some pressure on rental demand in select high density oil and gas markets. Prior to oil prices declining, we were running at about 75% physical utilization in our oil and gas markets. Utilization was about 70% in these same markets during the first quarter. These impacts were mitigated due to our ability to move fleet from the oil patch markets to the non-res construction markets. Slide 8, please. The first quarter validated the importance of our strong fleet management systems and fleet mix, in any market environment. None of our fleet is specialized for applications in oil and gas industry or any other industry for that matter. Our fleet is 100% transferable between end markets. As a reminder, our CapEx plans are flexible and can be adjusted either up or down in short order. If significant fleet is transferred to other regions, we will have the flexibility to redistribute or reduce our CapEx plan for the year. Based on current market conditions, combined with our heavy fleet investment over the last 3 years, we expect to reduce our CapEx spending by approximately 40% to 50% in comparison to 2014. Slide 9, please. To serve as a quick reminder and for those of you that are new to our calls, let me highlight several important points related to our oil and gas exposure. As I stated earlier in my comments, oil and gas accounted for only 11% of our total revenue during the first quarter. Nearly 80% of this exposure is in our Gulf Coast region and nearly 60% is in Texas. In spite of this significant downturn in oil patch, we grew our same store rental revenues 16% year-over-year in Texas. Further, the majority of our rental fleet in Texas is in the Eagle Ford Shale, which is one of the lowest lifted cost per barrel shale plays in the U.S. It is also important to reemphasize that 95% of our fleet in the oil patch is deployed on production sites that are not as sensitive to volatile oil prices as exploration. I also want to point out that our utilization in Texas remained strong and nearly 75% of our total revenue in Texas is tied to construction activity other than oil and gas. Slide 10, please. Finally, now that we are well into 2015, let me provide some current observations regarding the impacts of oil and gas trends we anticipated going into 2015. At this point, we are reassured that these trends are playing out as we had anticipated. The ongoing recovery in the non-residential construction markets is broad based and not just limited to our oil-rich states based on what we have seen low oil prices are not detrimental to the construction markets. Activity in our Gulf Coast region remained strong despite low oil prices, as the industries we serve are broad-based and include petrochemical, manufacturing, shipping, infrastructure, transportation, power, public works and utilities among others. And the industrial expansion in Louisiana and Texas continues with the majority of the major projects on track. We expect these trends to continue and benefit our business as the year progresses. Slide 11, please. I won’t spend much time on this slide. The data points should not be a surprise to anyone on this call, with the broader indicators pointing to a positive trajectory in the construction markets well into 2016. At this time, I will turn the call over to Leslie.
Leslie Magee: Good morning and thank you, John. I will begin on Slide 19. As John indicated, the first quarter was on track with our expectations, given normal seasonality, unusually severe weather and the ongoing weakness in the oil and gas industry. From a high level, total revenues decreased 4.1% to $227.4 million and gross profit increased 4.9% to $76.3 million compared to the same period last year. These results were largely driven by our rental business, as we stated would be the case on our last earnings call. We generated solid rental growth and rental returns, given the challenges presented. Rental revenues increased 17.6% to $101.4 million for the quarter over the same period a year ago. Physical utilization levels were impacted by extreme weather conditions and softening in the oil patch and we averaged time utilization based on OEC of 67.5% for the quarter compared to 69.2% a year ago. Average rental rates increased 3% with positive rate trends in all product lines over a year ago. Our dollar returns were 32.3% compared to 34.1% a year ago. We anticipated a decline in new equipment sales, specifically cranes using oil and gas activity. This played out in the first quarter as new equipment sales were $44.5 million, down 36% from $59.5 million a year ago, almost entirely due to new crane sales. Used equipment sales were $25.1 million, down 14.6% from the first quarter of 2014. And as we stated many times, this decline is mainly a result of our young fleet age. Sales from our rental fleet comprised 82% of total used equipment sales this quarter compared to 85% in the first quarter a year ago. Our parts and service segments delivered a 6.6% increase in revenues compared to last year to $42 million on a combined basis. Total gross profit for the quarter was $76.3 million compared to $72.8 million a year ago, an increase of 4.9%, on a 4.1% decrease in revenue. Consolidated margins expanded to 33.6% compared to 30.7% a year ago and were primarily driven by a shift in revenue mix to rentals. We generated consistent rental gross margins of 45.2% in both comparative periods. Margins on new equipment sales were 11.7% this quarter compared to 11.2% a year ago and used equipment sales gross margins were 32.6% compared to 30.4% last year. Parts and service gross margins were 41% compared to 41.6% a year ago on a combined basis. Slide 14 please. Income from operations for the first quarter decreased 5.1% to $23.3 million compared to $24.6 million last year on a margin of 10.3%, which was consistent with the margin in the first quarter last year. Proceed to Slide 15. Net income was $6.1 million, or $0.17 per diluted share compared to $7.4 million or $0.21 per diluted share in the same period a year ago. Our effective tax rate increased 40.6% compared to 39.3% a year ago due to lower benefits on permanent items in the current quarter. Please move to Slide 16. EBITDA was $69.3 million or a 10.5% increase over the same period last year and EBITDA margins were 30.5% compared to 26.4% a year ago, a 410 basis point increase. Our revenue mix shifted to the rental business positively impacting margins. Next, Slide 17. SG&A was $53.5 million, a $4.6 million or 9.4% increase over the same period last year and driven in part by increased salaries, wages and payroll taxes of approximately $2.1 million largely due to a larger workforce, combined with higher incentive pay on higher rental revenues. SG&A as a percentage of revenue was 23.5% this quarter compared to 20.6% a year ago primarily as a result of the current year decrease in total revenues driven by lower demand for new equipment sales. It is worth reminding listeners that a growing distribution business generates significant operating leverage for our business as we have the ability to sell more equipment and significantly increase our top line without adding to our fixed cost structure. As we incurred lower new equipment sales, we have experienced the reverse of this, which is also often exacerbated in the first quarter due to normal seasonality. And then on top of this, the other challenging factors we have mentioned this morning. Slides 18 and 19 include our rental fleet statistics. And during the first quarter, we increased the size of our fleet by $15.5 million, or 1.2% based on original equipment costs. We ended the quarter with an original equipment cost of our fleet at $1.3 billion. Our gross fleet capital expenditures during the first quarter were $51.2 million, including non-cash transfers from inventory. Net rental fleet capital expenditures for the quarter were $30.6 million. Gross PP&E CapEx was $6.5 million and net was $5.9 million. Our average fleet age as of March 31 was 32.5 months. Next, Slide 20. At the end of the first quarter, our outstanding balance under our $602.5 million ABL facility was $262.8 million. And therefore, we had $332.4 million of availability at quarter end under our ABL facility net of $7.2 million of outstanding letters of credit. At this time, I will turn the call over to John to discuss our current outlook and then we will open the call for questions.
John Engquist: Thank you, Leslie. Please proceed to Slide 22. Before we open the call to questions, let me quickly close by reiterating our belief that solid growth opportunities will persist throughout 2015, especially during the back half of the year. Despite the ongoing weakness in the oil patch, momentum in the non-residential construction markets remains strong and the major industrial expansion along the Gulf Coast presents a significant opportunity for our business. At this point, given the recent drop in the price of oil and gas discussed throughout the call and the difficulty investors may have in understanding the impact of that on the trends in our business, we are providing 2015 guidance for revenue and EBITDA. We expect our revenue to range from $1.65 billion to $1.88 billion and EBITDA in the range of $334 million to $352 million for the year. As a note, we do not currently intend to provide guidance for periods beyond 2015. As you can see from this guidance, while we expect flattish to slightly down year-over-year revenues, we expect EBITDA to increase over the prior year. Again, this is consistent with the message we delivered to you on our last call and that is while we expect our new equipment sales to decline year-over-year, we expect growth from our rental business and growth in EBITDA. Our company remains focused on solid execution, greater productivity and returns for our shareholders. We are pleased with the overall trends in our business and opportunities as we move further into this year. We will now take questions. Operator, please give instructions.
Operator: Thank you. [Operator Instructions] And we will take our first caller from Seth Weber, RBC Capital Markets.
Emily McLaughlin: Hi, good morning. This is Emily McLaughlin on for Seth. A couple from me. How are you guys thinking about dollar utilization for the rest of the year? Was 1Q – is that a good run-rate to think about for the rest of the year?
John Engquist: No, I don’t think so. We were impacted by our physical utilization in the first quarter and the downturn in oil patch, which I think we are doing a good job of mitigating we have moved a lot of fleet out of the oil patch into other markets. And as weather improves, we are seeing our utilization improve with it. We are up to the 70% range today and we are seeing weekly increases. So, I would not use that as a run-rate. It will improve as we move through the year.
Emily McLaughlin: And as you guys transfer your fleet out of the Gulf Coast region, have you seen bidding get more competitive for the larger industrial deals as your competitors are probably doing the same kind of thing?
Brad Barber: So, I don’t know that I would say that we are necessarily moving inventory out of the Gulf Coast region. We are moving inventory out of some of the specific oilfield markets, but much of that inventory, in fact the majority of that inventory, is staying within its respective region just moving to other construction related projects.
Emily McLaughlin: Okay, alright. Thank you. That’s all I have.
John Engquist: Thank you.
Operator: And we will go next to Joe Box with KeyBanc Capital Markets.
Joe Box: Hey, good morning everyone.
John Engquist: Good morning, Joe.
Joe Box: I actually just want to follow up on that last question. I am trying to understand how your customer relationships work and how contracts work in the Gulf Coast? Just to understand if you are protected on some of these megaprojects, because inevitably, I am going to think that some of the other rental companies are going to want to move in on those projects as some of the fleet comes out of the shale. So, can you just talk about how you are speced in on those projects?
Brad Barber: Sure, Joe. This is Brad. I think it’s – sometimes companies refer to commitments. These are verbal commitments. These are not contractual commitments. We have got a strong presence here in the Gulf Coast region where a lot of this large work is going on. Many of these customers own cranes. We have sold these cranes. We provide them parts and service for these cranes. They have bought earthmoving equipment. So we provide parts and service and ongoing sales. And we also rent that equipment and as well as all of the other types of equipment, i.e. the aerial work platform. So I think that our position, our reputation, our long-standing relationships and our overall company’s capabilities is very specific to this large petrochemical corridor that we are ideally positioned and better positioned than most of our competitors. What will that mean in terms of competition showing up, I think the competition is there today. And I would say that everyone is taking a really rational approach. And I believe that the largest competitors out there as well as our self are very focused on rental rates and return in keeping that balance to make sure that we don’t over fleet and deteriorate the opportunity to continue to have price increase on the rental projects.
Joe Box: Understood. I do want to dig into the incremental rental margins just for the 45% in the quarter can you maybe just help us understand what the weather impact may have been or the reposition expense or even if you guys had to face some sizable fleet repair expenses, fix up some of these units that are coming out of the shale plays?
John Engquist: Yes. Joe, I mean fleet repair expense wasn’t an issue. It’s been running at a normal rate. What was the first part of your question, again?
Joe Box: Yes. I am trying to understand weather and reposition expense, any items that could have been one-time on that incremental margin?
John Engquist: Well, look weather was a very real factor for us this quarter. We typically don’t like to talk about weather. But I would say we had 57 days of branch closures in the first quarter. The majority of that was in February. Most of those were due to snow and ice. And I would tell you, when you have a branch closure due to snow and ice, that’s not a one day impact, it’s a three day or four day impact. So weather was a real issue for us. The transportation expense was up significantly. I mean, we moved a lot of equipment, there is no question about it. But the weather is behind us. And as I have said, our utilization is improving weekly and getting back to where we expect it to be.
Joe Box: So on that transportation expense, I mean can you give us a feel of where you are at in terms of repositioning these assets, I mean are you 75% of the way through. And then can you maybe just bridge the gap on utilization, I mean I think you were down 170 in the quarter on utilization, are you down 100 basis points as of this most recent week, just to give us a feel?
Brad Barber: So let me back up on some of John’s remarks, Joe. Last year, Q1 we were almost 76% utilized in our oilfield markets. This year, we were just north of 70% utilized in those same oilfield markets. As we are repositioning the assets, no doubt, that we are incurring one-time costs for moving those assets. We would prefer not to move them. But that’s what’s required. And clearly, while we would put that 76% utilization over 70% this year in the oilfield markets, we think we are doing a nice job. But it does come at a cost and that’s what those transportation dollars. I don’t know that we want to get into the magnitude of transportation dollars, but I can give this color that the vast majority of these assets, 80 – I think, it’s over 80% of the assets that we reallocated out of the oilfield markets are staying within their respective region. So we do have some that are traveling further, but by and large the assets we are taking out of oil and gas markets are staying within that geographic region and that’s helping mitigate what that cost could have potentially been.
John Engquist: And Joe the one thing I would add to that, we do feel like these oilfield markets are reaching equilibrium. Now time will tell, but we think we are rightsizing those fleets.
Leslie Magee: I am sorry and as Joe said, rental incremental gross margin is right at the gross margin level?
Joe Box: Yes. Rental incremental margins, correct, Leslie.
Leslie Magee: So the transport costs aren’t really going to show at the rental line, you are going to see that in the other revenue, other gross profit line. So it’s really what John is talking about, it’s the utilization impact here is what you are going to see.
Joe Box: Got it. Was that then the primary factor why that other gross profit line was negative?
Leslie Magee: It is.
John Engquist: Yes.
Joe Box: Okay. Will that be negative next quarter?
John Engquist: No, we will have to see. It kind of depends on these branches reaching this equilibrium I am talking about.
Brad Barber: It won’t stay negative longer term. But next quarter, we would still have some moving pieces and it could be.
Joe Box: Understood, I visited that. Thank you.
Brad Barber: Thank you.
John Engquist: Thank you.
Operator: And we will go next to Nick Coppola with Thompson Research Group.
Nick Coppola: Hi, good morning.
John Engquist: Hi, good morning.
Nick Coppola: So you made the comment that utilization in oil and gas regions went from 75% to 70% utilization, what did that change in utilization look like in non-oil and gas markets?
Brad Barber: The non-oil and gas markets were basically flat year-over-year.
John Engquist: And that’s with some brutal weather.
Nick Coppola: Okay. And understood on the weather comment, what did weather look like last, because we had a pretty challenging winter last year as well, so is there any kind of comping you can provide on the year-over-year weather impact?
John Engquist: Yes. I mean and Brad may have more color than I would do, but the weather was just not as broad based last year as it was this year. I mean, we had impact this year from West Texas through Oklahoma, Georgia, the Carolinas, Virginia, Baltimore and it was very, very broad based. And it just affected a lot of our stores, more stores this year than it did last year.
Nick Coppola: Okay, that’s helpful. And then, are you seeing any differentiation in rate performance in those oil and gas versus non-oil and gas markets and any kind of commentary you can help out with there would be helpful?
Brad Barber: So, not much, I mean we have had some select customers where we have had to make minor price concessions to maintain large sums of equipment on long-term projects. But generally speaking, it’s probably been less than we would have expected, so not very much. And we still see opportunities continue to increase rental rates overall as we move through the year.
Nick Coppola: Okay. And just my last question here, how should we expect the industrial expansion in the Gulf to impact new sales this year and I would think that would be a pretty big boon for the business, but just kind of not enough to offset the reduction in crane sales there, is that the right way to think about that and maybe any kind of guidance there?
John Engquist: I think we are going to get a positive impact in this industrial expansion as these projects proceed. The majority of these projects are kind of in the dirt phase right now and foundation phase. As we move forward, we do believe we will get some positive impact on crane sales from these projects.
Brad Barber: Is it enough to offset some of the losses?
John Engquist: That remains to be...
Brad Barber: It’s difficult to project.
John Engquist: With that said, we do expect equipment sales to be down year-over-year.
Nick Coppola: Understood.
Operator: And we will go next to Neil Frohnapple with Longbow Research.
Neil Frohnapple: Hi, good morning guys. As a follow-up to those earlier questions, are you guys able to quantify the OEC of fleet that was moved out of the oil patch and redeployed to other markets with stronger demand in the quarter?
John Engquist: Yes. We are. We have reallocated basically $21 million of OEC in Q1.
Neil Frohnapple: Okay, great, that’s helpful. And then just pertaining to the new equipment sales business, the business has historically been lumpy quarter-to-quarter depending on when timing of a large crane hits, for example. So just trying to get a sense of whether the magnitude of the decline in 1Q is all end market demand related for cranes or if there were other things such as timing that compressed the quarter’s results even more than expected?
John Engquist: I think it’s mostly related to the downturn in oil and gas. We sell a lot of cranes to oilfield service companies and that business declined significantly as you would expect.
Neil Frohnapple: Great.
Brad Barber: I would also note that Q2 2014 was an exceptionally good quarter for crane sales on a historical basis. So we are going to be coming up against a very difficult comp again here again in Q2 2015.
Neil Frohnapple: Alright, that’s helpful. And then just one final one, John as you take a step back, what’s your appetite for M&A at this point in the cycle and can you just remind us what you are planning for new branch openings in 2015, if you have any of those on hold at this point or if you are accelerating that?
John Engquist: No, I think our branch openings we would like to do five or six a year. And nothing’s changed there. We will be obviously looking more to construction markets than we have in the past where we have done some oilfield stuff, but we don’t see any change there. From the standpoint of M&A, we have got a good strong balance sheet and a lot of liquidity. And if the right opportunity comes along at the right price, we are going to look at it real hard. It’s not something we are out chasing by any stretch of the imagination, but we will be opportunistic, but we will definitely continue our Greenfield program. We have been very successful with that.
Neil Frohnapple: Alright, that’s very helpful. Thanks very much guys.
John Engquist: Thank you.
Operator: And we will go next to Philip Volpicelli with Deutsche Bank.
Philip Volpicelli: Good morning.
John Engquist: Good morning, Phil.
Philip Volpicelli: My first question is with regard to the CapEx, you mentioned that CapEx will be down 40% to 50% versus 2014. Is that on a gross or a net basis? And do you plan to increase the number of units that you are selling? And then could you talk a little bit about the pace of the CapEx, because it was up year-over-year in the first quarter?
John Engquist: Well, first off, it’s a gross number. And what was the rest of your question? That was gross CapEx.
Philip Volpicelli: Okay.
Leslie Magee: Front loaded as usual.
John Engquist: Yes, very front loaded.
Philip Volpicelli: Okay. Okay. And then – sorry, go ahead.
John Engquist: Yes, no, our spending will be front loaded.
Philip Volpicelli: Okay. And then in terms of the oil and gas patch, clearly as rig count comes down, we think that, that’s probably going to get worse as we go through the year. Can you talk about month by month how your customers have been in the oil patch? Has it gotten worse January, February, March, April or has it been relatively steady?
John Engquist: I think it’s been a pretty steady decline. I mean, it’s – the decline maybe accelerated a little bit as we went through the quarter, but we don’t see it getting a lot worse going forward. Oil is at $59 today or whatever it’s at and that’s a far stretch from where it bottomed out. We have – since the end of the first quarter we have moved some additional fleet out of the oil patch locations. But as I said earlier, I think we are approaching the point of equilibrium, where those markets are going to stabilize. We don’t see it getting a lot worse.
Philip Volpicelli: Okay. And in terms of the large projects that are tied to that – the refineries, the petrochemical plants, the expansions and so forth, have you heard of anything else that’s been canceled down there?
John Engquist: No, we haven’t. And I would tell you the big opportunity we see is in chemical manufacturing of ethylene, ammonium, methanol, true chemical manufacturing, that hasn’t really – almost no ties to the price of oil. It’s tied to low natural gas prices. And we feel very good about that. We have had an ammonia or urea plant announced in the last week or so. And we have had another ethylene plant, about $1.5 billion project, announced in the last week or so. So, we feel good about the chemical manufacturing. We think it’s going to be very positive.
Philip Volpicelli: Great. And last one from me, Leslie could you give us the manufacturing floor plan payables at the end of the quarter?
Leslie Magee: Sure. It was $74.3 million.
Philip Volpicelli: Great, thank you very much.
Leslie Magee: Phil, just in reference to one of the comments you made, our – both our gross and net CapEx spending was down year-over-year. So, I thought I heard you say it was up. You might just want to go back and check the numbers on that, if that’s what I heard was correct.
Philip Volpicelli: Okay, you did hear me say that, so I will follow up. Thank you.
Leslie Magee: Alright, thank you.
Philip Volpicelli: Thanks. Bye-bye.
Operator: [Operator Instructions] And we will go next to Barry Haimes with Sage Asset Management.
Barry Haimes: Good morning. I had a couple of questions. One, on the new equipment sales on the crane side, when you look at the full year guide could you give us a feel for – what you are assuming on new equipment? How much of that you have got orders already that are just going to ship in the second half versus how much of that you still need to get the orders to make the guide on that? That’s the first question.
John Engquist: Yes, Barry. And actually we are not giving guidance on individual revenue sources. I will tell you that a large portion of our cranes on order are pre-sold. They are ordered for specific deals. But I don’t think we want to get into – give a more granular guidance than the broader estimates we have already provided.
Barry Haimes: Okay. And then second question, just on the CapEx, can you actually give us the exact number, net and gross, that you are projecting for the year? And has that changed from the last quarterly call?
John Engquist: Well, again, we don’t give CapEx guidance, because it fluctuates too much. I mean, we have the ability to turn that up or down. So – but what we can tell you is our gross spend will be down 40% to 50%.
Barry Haimes: Okay, thanks. And then final question, the gross margin in the quarter was down for both parts and service. And I usually think of those revenue streams as being a little bit more stable. So I wonder if you could tell us if there was anything in particular going on that would have caused a little erosion there? Thank you.
John Engquist: I think it’s probably the mix of what was sold. We probably had some rebuild business in there that may be changed the revenue mix in parts and service a little bit.
Brad Barber: But there is nothing going on within parts and service that’s concerning us about our more traditional or typical margins and as John said, that’s just more of a mix issue for Q1.
Barry Haimes: Great. Thanks very much. I appreciate it.
Brad Barber: Thank you.
Operator: And this does conclude the question-and-answer portion of today’s conference call. I would like to turn it back over to John Engquist for any comments or closing remarks.
John Engquist: Well, I appreciate everyone being on the call. As we have said time and again, we are still in a good solid environment and we see growth opportunities for our business. And we look forward to talking to you on our next call. Thank you.
Operator: And this does conclude today’s conference. We thank you all for your participation.